Operator: Ladies and gentlemen, thank you for standing by, and welcome to the NWS Third Quarter 2007 Earnings Release Conference Call. At this time all lines are in a listen-only mode. Later there will be a question and answer session and instructions will be given at that time. (Operator Instructions). As a reminder, today's call is being recorded. At this time I would like to turn the conference then over to the Executive Vice President, of Corporate Communications and Investor Relations, Mr. Gary Ginsberg. Please go ahead sir.
Gary Ginsberg: Thank you, Ken. Good morning, everyone and thanks for joining us today to discuss our third quarter operating results. On today's call are Rupert Murdoch, Chairman and Chief Executive Officer; Peter Chernin, President and Chief Operating Officer; and Dave DeVoe, our Chief Financial Officer. We will begin with Dave providing some financial analysis for the quarter that may not pop out from the reading of our results. Rupert will then talk about the quarter generally and offer some brief remarks on the company's recent offer to acquire the Dow Jones Company. We'll then go right in to your questions, first from the investment community and then from the press. Today's call is, of course, governed by the Safe Harbor provisions. On this call, we will make statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors, including those described in News' public filings with the SEC that could cause actual results to materially differ from those in the forward-looking statements. And with that, I will turn the call over to Dave.
Do you get frustrated during earnings season?:
Have you had trades go south because of bad earnings dates?:
We know what it's like. We’ve been there. We’re Wall Street Horizon and we work with some of the largest firms on Wall Street.:
Founded by former Fidelity Investments executives, we understand the power of trading on good information and the pain and suffering of trading otherwise. We obsess about earnings and economic events calendars so you don’t have to. Accurate. On time. Guaranteed.:
Let us help.:
Let us help.:
Get Smart: Get Wall Street Horizon.
Get Smart:
View our Free 30-day trial for investment professionals :
View our Free 30-day trial for investment professionals :
View our Free 30-day trial for investment professionals:
To sponsor a Seeking Alpha transcript click here. :
To sponsor a Seeking Alpha transcript click here. :
Dave DeVoe: Thank you, Gary and good morning everybody. As you have seen in today's earnings release, we reported net income of $871 million for the third quarter of fiscal 2007. This is a $51 million increase over the net income, reported a year ago. This improvement was largely driven by a 23% increase in operating income partially offset by a gain on the sale of Innova that was included in last year's results. Contributions from our associates were slightly below last year as increased direct television revenues, or results rather, were offset by the absence of SKY Italia, Skylight America's results following their sale to DIRECTV. Diluted earnings per share for the quarter were $0.27, this is up a penny from a year ago. These very solid results were driven by a 21% revenue increase over last years’ third quarter with six of our eight operating segments achieving double-digit top-line growth. Consolidated operating income of $1.24 billion is a new record for any quarter in News Corporation's history, and it was led by the exceptional film results, as well as, continued strong growth at both SKY Italia and our cable segment. Additionally, this record operating income growth was achieved despite incurring a nearly $50 million operating loss reported in our other segment related to the 2007 World Cup Cricket event. This event which is held once every four years saw the unprecedented, early elimination of the most followed teams, India and Pakistan, and as a result, advertising and sponsorship revenues were severely reduced. This was the final event under that contract. Since you all should now have a copy of our earning release, I won't go through all the segments in detail. However, I would like provide contexts on a few items. First our film business, reported operating profit of $410 million, a $185 million increase over the third quarter a year ago. This 82% increase was driven by the theatrical success of Night at the Museum with over $570 million in worldwide box office receipts, as well as, a strong worldwide home entertainment performances of Borat, the Devil Wears Prada, Little Miss Sunshine and Eragon and others. Our television production business, Twentieth Century Fox Television also increased their operating income contributions reflecting higher home entertainment revenues, especially from 24 and Prison Break. While our television segment reported $273 million in operating income, a $13 million decline. This result masks the success we are having at the FOX Network. At the Network, operating income contributions increased nearly 50% due to higher CPMs reflecting the strength of FOX prime time shows, including American Idol, House, 24 and Prison Break. We are also very encouraged by the early results of 'Are You Smarter than a 5th Grader', our best performing Thursday night program in eight years. Our Television Station Group also increased operating income by 4% in the quarter, reflecting strong results for the FOX stations offset by lower contributions from the MyNet stations, owing to the performance of MyNetworkTV, where we continue to have startup losses. However, recently the operating performance of MyNetwork has started to improve as a result of higher ratings and lower programming costs. At our Cable Networks, we had a very strong 34% increase in operating profit to $282 million, a very solid result driven by increased affiliate fees across all the channels including the initial renewals for Fox News, as well as, higher contributions from FOX International Channels, both in Latin America and Europe. SKY Italia continues to deliver strong financial growth, with third quarter operating income of $91 million; this is a 32% increase from last year. Revenues in local currency terms increased 12%. These financial improvements are largely driven by 12% subscriber growth over the last 12 months. We've finished the quarter with 4.71 million subscribers, a 456,000 increase from last year. New activations in the quarter of 215,000, were up 21% or 37,000, higher than those of the same quarter a year ago and our net subscriber additions in the quarter were 135,000, were also up 21% compared to last year's net additions. Our churn in the quarter was consistent; we are achieving annualized churn for the fiscal year of right around 10%, and our programming cost in the quarter increased as a result of additional soccer programming in the addition of 10 new SKY channels. SKY Italia is on track for a strong fourth quarter based on our continued subscriber growth in the absence of marketing and programming costs related to the World Cup, which were incurred in the prior year. Included in our other segment, other results of Fox Interactive Media, which continues to make rapid progress, Films results for the quarter exceeded a $135 million. This is up over 65% from the third quarter a year ago, primarily a growth at MySpace. Roughly half of this revenue improvement flow through improved our operating results allowing Film to generate a small profit for the quarter. And finally, let me address our expectations for this fiscal year. In connection with our fiscal second quarter earnings release in February we indicated an expectation of operating income growth for fiscal 2007 would be in the 14% to 16% range. This guidance excluded gain of approximately a $140 million expected from the sale of property in the United Kingdom. Based on the assumptions inherit in our projections, we are still comfortable with this 14% to 16% growth estimate. I would also like to mention that the process for obtaining the various approvals we need to sell the United Kingdom property, is taking considerably longer than we ever anticipated. As a result this land sale will not close in fiscal 2007. And we will continue to work with the various regulatory agencies in the United Kingdom to move this project to closure. With that, I would like to turn the call over to Rupert for some additional comments.
Rupert Murdoch: Thank you, Dave, and good morning everyone. Once again, another already very solid quarter, 21% revenue growth and 23% operating income growth, with double-digit increases in five of our business segments. And consistent with this operational momentum, Dave just reaffirmed financial guidance, a sure sign that the company is certainly on track, both financially and operationally. Our cable programming, SKY Italia, Magazines and Inserts segments just turned in their highest quarterly profits of any quarter in their respective histories. Our Film business is recording another record year, led by a number of box office and home entertainment hits. The FOX Network was certain to again take the 18 to 49 ratings crown this broadcasting season, but this time by a wider margin, and year-to-date, our newspapers are generating revenue and operating income growth even with the current challenging print advertising markets. We also have the strongest balance sheet in the company's history with over $7 billion in cash, having just generated over $1.8 billion in cash provided by operations in the last quarter alone. We intend to complete the repurchase of the remaining $2.7 billion in News Corporation shares authorized by our Board. We are continuing to provide for tomorrow’s growth, by reinvesting a portion of the earnings in our established businesses to develop and promote a new business and new revenue streams, both domestically and abroad. Fox Interactive continues to grow steadily both in traffic and revenue metrics. We are on pace to match or exceed our previously stated revenue goal of $500 million to this fiscal year, and have increased our position as the web's most viewed online network with nearly 50 billion page views in the United States and approximately 100 million unique users worldwide each month. In March, we closed on the acquisition of Strategic Data Corporation, enabling Fox Interactive to further ramp-up revenues by delivering highly-targeted advertising across the whole network. And on the international front, we launched six new international MySpace sites in the quarter, including Italy, Spain, Mexico, Canada; both French and English, New Zealand and Latin America. We now have localized MySpace sites in 15 countries. Also on the international front, we are continuing to develop television businesses in less developed markets, with recent investments in Turkey, Holland and Indonesia, businesses which we think represent potentially the next growth drivers for the company. Now, let me briefly address what I know is on your minds, and that is the $60 per share offer we submitted to the Board of Directors of the Dow Jones company, three weeks ago, to acquire all of the company's assets. Just let me state, it would have been our strong preference to negotiate our offer in a private setting. Indeed, that was the manner in which we submitted it. Unfortunately, the news of the offer leaked last week forcing all of us to deal with this publicly. I admire the Bancorp family and the new Dow Jones management. They have a great collection of assets including a great newspaper. It is a company with limited financial resources. I intend to honor their privacy on this call today. Simply, let me say that if we didn’t have such strong confidence in our own business, as well as in what we could be -- as well as in what could be created by combining News Corporation and Dow Jones, we would not have made the generous offer we did. We've made the offer, and what we believe, is a full and more than fair price because our two companies are a perfect fit. Each can benefit greatly from being part of the same house. As you've seen from our earnings, we have the ability to leverage our assets and expertise in every market, in every business line and in every medium. To provide strong growth platforms for any business within the News Corporation family, most especially a company with such strong and powerful potential as Dow Jones. I am uncomfortable at this time to open publicly or in any detail about all the areas of collaboration we’ve entertained between our two companies. If we are fortunate enough to gain the support of the Dow Jones shareholders, there will be plenty of time to detail all of the areas where we think we can add and create real value for shareholders. And our difference to the family and their right to deliberate this decision in private. And we'll not say anything more about our offer for the great opportunities and responsibilities that it represents, including during the question and answer session, which I guess is going to follow this now. So, thank you all for your attention and I'll now turn the call back over to the Operator.
Operator: (Operator Instructions). Our first question this morning comes from the line of Jessica Reif with Merrill Lynch. Please go ahead.
Jessica Reif - Merrill Lynch: Thank you. I have two questions; the most obvious to me seems to be on Film. Can it get any better than that, I mean, the numbers are obviously really great, and then secondly on STAR TV, given the change of management at the senior level, what impact should we expect on operations and can you give us some color in terms of what's going on with Tata Sky?
Peter Chernin: Jessica, on the film side, it can't get any better than this? Well, certainly we are going to ask them to keep getting it better, but I think in many ways, this is a unique quarter. We had that extremely strong theatrical Night at the Museum, we had ongoing very strong video from Borat's. We had continued spillover from ICE Age and from the summer movies. So, this was a very unique quarter, but we continue to believe that all the indications in the movie company are still going very positively and we still believe we've got the best management in the business. So, I do think there was some one-time only or a certain amount of very specific operating momentum this quarter. In terms of STAR, we feel great about the progress that is being made there, we do have new management. We've sent over Laureen Ong from Nat Geo over there. We've just hired, we've just moved over the head of STAR News to be the COO of STAR, India. So, we believe we are making significant management progress. We do think that we maybe guilty of probably not paying enough attention to some of the long-term opportunities there, and I think you will see us with renewed focus on trying to build that business. I can't think of a better opportunity for the companies in India overall. And so, we are looking to build that, we’ll probably look to invest, build new channels, open new channels, create new programming, etc. As for TATA SKY, I think that we are seeing that probably go a little bit faster than our expectations right now. It was a little slow, we delayed the launch for two months, but since we've launched that I think we've seen very good strong uptake.
Rupert Murdoch: And as a part of we grow there in these early stages, the more expensive it is, but until we turn the corner.
Dave DeVoe: And to put more expenses, on the other hand, is probably a positive for our STAR channels, because every one of those things pay STAR channels at full price.
Jessica Reif - Merrill Lynch: Can you say, how many subs Tata Sky has right now?
Peter Chernin: I think a little less than 1 million, but I can't be precise and sure.
Dave DeVoe: I think that's about the right number.
Gary Ginsberg: Can we take the next question please?
Operator: Thank you. Yes, your next question comes from the line Doug Mitchelson with Deutsche Bank. Please go ahead.
Doug Mitchelson - Deutsche Bank: Thanks very much, gentlemen. Can you talk a little bit about your ad placing across your businesses, I mean, obviously you are in both domestic and international and multiple media, if you can just give us a sense of how they are all pacing, that'll be helpful.
Peter Chernin: Your question must be on the advertising?
Doug Mitchelson - Deutsche Bank: Yes, the advertising markets that you are in both domestically and internationally and across the different media. If you can give us a sense of pacing into any comments you want to make upfront, that will be helpful?
Dave DeVoe: Well, I think that if you look at certainly in the US, we are in extremely strong scattered position. I think our only shortcoming right now is we wish we had a lot more inventory to sell on the network, because that market is very, very strong. Station market, I would characterize as good; Cable characterizes as very, very strong also. I think all of that bodes well for the upfront. I think as you see strong demand for scatter and the high increase in scatter pricing that's about a better position, coupled with our rating strength, I think we feel pretty good about going into the upfront, I think the biggest shortcoming on the upfront is there is still fair amount of confusion/disagreement among the agencies about what the pricing standard in going to be. They are going to be commercialized, is it going to be live, is going to be live plus three, is going to be live plus seven but, in terms of the marketplace and our strength going to the marketplace, we feel very strongly.
Doug Mitchelson - Deutsche Bank: And how does UK and Australia look for advertising?
Rupert Murdoch: Master Sam is here. So but, we are talking basically print here or even television, perhaps in which is very smaller Sky. It’s leveled to up fractionally, it is difficult and we have the very good market positions in terms of relative circulations and quality of those circulations. And what I would say is that we have level to fractionally up and certainly increasing that share of market.
Doug Mitchelson - Deutsche Bank: Thank you.
Operator: Thanks. We have a question then from the line of Richard Greenfield with Pali Research. Please go ahead.
Richard Greenfield - Pali Research: Hi, a couple of questions. In terms of your bid for Dow Jones, you are assuming you do get it for a second, how would it impact your share repurchase program. You were very aggressive buying your stock literally up to the maximum everyday in terms of NWSA shares, I am wondering how you think about where your right leverage is even with Dow Jones, how that would impact that plan? And then just secondly on STAR, could you just maybe go back and kind of follow-up on Jessica's question of what essentially has gone wrong at STAR, and what is the new managing team doing to really set the task right for growth over the next few years, because obviously that was a big growth driver over the last couple of years, as it swing to profits, I am just wondering, kind of, where we are in terms of kind of getting that going again in terms of timing? Thanks.
Rupert Murdoch: That we are showing --
Peter Chernin: No. I think on the first it seems we were up, we can absolutely afford to re-activate buyback and we intend to do so. And that does not lead to any problem of ratings or leverage. Is that right Dave?
Dave DeVoe: Yeah, I mean, we certainly, there is no change at all in the buy back and how we are going to do it, and we said that, I think in the last call Rupert said we would complete it by the end of this fiscal year or next fiscal year. I think was it was May of '08, he talked about. We easily have the financial capacity to do both the Dow Jones transaction and the share buyback.
Rupert Murdoch: We have continuing strong cash flow. So we are in good shape on that. The second question, I am sorry?
Richard Greenfield - Pali Research: As for Star, I think--
Rupert Murdoch: I think all I can tell you about STAR is, I would put my hand up. We took our eye off management perhaps they are better, got off some trouble in India. It has all been sorted out. He has been out there and there is a lot of work going on. So we will see we have some very interesting and good highs, and we have great confidence in the company.
Peter Chernin: Yeah, I think specifically if you look at the slowdown in the quarter, the slowdown in the quarter was probably due to two specific things. There was a new rating standard, they doubled the size of the rating panel, and that has reduced ratings for everybody, us basically in proportion of everybody else, but it’s allowed us, it’s given the advertisers an opportunity to jockey with us a little bit. But actually to be fair, our revenues are actually up in the quarter in India. We are seeing a little bit of cost increase in India as the Balaji shows get older and go through what is a normalized cycle of renegotiation and cost increases. I think as Rupert said, I think we are guilty a little bit of probably having been a little too short termed in our focus over the past two, three years. And what you’ve seen is that as a result of that, well, we may have been a little bit too aggressive in driving quarterly growth. We probably weren't investing enough to drive the long-term growth drivers of the company. And I think we feel great confidence in Paul and the new team that we've put together, to get that focus back on what we continue to believe is an enormous strategic opportunity in India. So, again, I think that the short-term is, I think you got to give us -- our key issues right now are, we've got to improve the programming and get our ratings. We are still by a significant margin the ratings leader, but we can increase that margin again. Secondly, I think that we’ve got to do a better job of looking at new opportunities, specifically in the area of new channels. We've continued to dominate Hindi language programming, but, for example, we just announced a new joint venture with the Balaji team to start launching new regional channels. We hope to launch three or four new regional channels this year, and there is a great opportunity outside of Hindi language programming in India that we’ve probably been a little slow to adopt. So I think we've got a lot of focus on it. Paul Aiello, our new CEO is spending probably 60% -70% of his time in India. We’ve put together a new team that we feel great confidence in, but we're probably guilty of having taken our eye off the ball a little bit.
Richard Greenfield - Pali Research: Thanks.
Operator: We have a question now from the line of Michael Nathanson with Bernstein. Please go ahead.
Michael Nathanson - Sanford C. Bernstein: Hi. I have one for Rupert and one for Peter. Rupert, I guess the obvious question would be, I wonder if you could help us with you general thinking, because on the last call you said there was no great use of your cash than buying back your stock. So I wonder, just generally, what has changed between that and this period?
Rupert Murdoch: I don’t intend to comment at it on all, I'm sorry.
Michael Nathanson - Sanford C. Bernstein: Okay. I'll turn to Peter, thanks.
Rupert Murdoch: I can’t be drawn into questions about Dow Jones.
Michael Nathanson - Sanford C. Bernstein: Okay. But I guess the question we had was, it seemed that the firm was very committed to using its $7 billion of excess capital to buy back its own stock, and then there was a rumor of a bid using stock and cash?
Dave DeVoe: Well Mike, listen -- what we are saying to you is that we have the ability to do both transactions. And just to clarify, we never deactivated the buyback, and for that matter we were extremely aggressive in the third quarter. I think with that bought back nearly $700 million of shares. So, what we're saying is, we think this is a great investment opportunity, we have the ability to make that investments both in Dow Jones and can continue to make the investment buying back used, of course, stock which we think is that is still significantly cheap.
Michael Nathanson - Sanford C. Bernstein: Okay. Thanks, and then one for Peter, Dave mentioned loss of MyNetworkTV. I wonder if can you quantify what losses were this quarter, and then what level of losses would you tolerate in the future, if ever the network is re-evaluated?
Peter Chernin: Well I would say, first of all, we are not breaking out the specific losses, but I would say very emphatically that we will not tolerate this current level of losses going forward. We--
Rupert Murdoch: If you look far enough, forward no losses.
Peter Chernin: Look, I would say that we expect to significantly reduce the losses in fiscal '08 and we'll demand continued progress. We are willing to take a longer term position, but not so longer-term position that we are not seeing significant progress, you know, on a sort of quarterly basis. And we'll continue to evaluate on a quarterly basis. We do feel good about the progress we are starting to make, we've have seen ratings increase, we've seen much more advertiser-friendly programming, and we've seen, frankly, much cheaper programming. And Greg Meidel is out there basically meeting one-on-one with all of the key advertisers talking about the new programming lineup, and getting a pretty positive response. I think there is a desire on the part of advertisers to have this alternative. I think we are clearly off base in the sort of telenovela strategy, and we've removed, as of right now, about one night of those telenovelas, and you'll see that one night going pretty soon. So, we expect progress to be made and we'll demand significant progress to be made, but we still believe its worth some continued investment to get this thing right.
Michael Nathanson - Sanford C. Bernstein: Great. Thanks Peter.
Operator: And our next question comes from the line of Vijay Jayant with Lehman Brothers. Please go ahead.
Vijay Jayant - Lehman Brothers: Thanks. I am just going to follow up on the prior question, if I could, which is, is Dow Jones sort of a one shot unique opportunity, so if god forbid, if that didn't work out that the 5 billion of liquidities, normally we are trying to find another acquisition. Is there anything in the portfolio that you really feel you need to add too? Or is it truly opportunistic? Thank you.
Peter Chernin: Quite opportunistic and we don't have any other opportunities in sight, but we’re certainly not going say that forever. Opportunities may not come along which we wouldn't take.
Dave DeVoe: If you would have to say, well this is a pretty unique investment opportunity.
Rupert Murdoch: Oh, it's a unique, huge opportunity.
Vijay Jayant - Lehman Brothers: Well, thank you.
Operator: We have a question then from the line of Anthony Noto with Goldman Sachs. Please go ahead.
Anthony Noto - Goldman Sachs: Thank you very much. Dave, you had mentioned that the MySpace revenue growth in the quarter, I think this is correct to 65% year-over-year, I was wondering if you could just tell us what that was in the December quarter, my calculation is of 65%, and then the 65% growth. What are the components of display versus non-display given that you've launched the relationship with Google? And then the second question is on cable networks, are we in a period where we can see sort of nice consistent cable margin expansion on a fiscal year basis, given the fact we now have the step-up in affiliate fees over the next three years? Thank you.
Dave DeVoe: With respect to the Google Earth, revenue was relatively small in the first quarter. I think we've said in the past when it generated $50 million of revenue for the --
Peter Chernin: For the two quarters, Dave.
Dave DeVoe: $50 million for the lead months, $25 million in the quarter, is that correct Peter?
Peter Chernin: No it's not probably, there is the $50 million over the six months is correct.
Dave DeVoe: Yeah, okay.
Anthony Noto - Goldman Sachs: So the bulk of that revenue growth than for MySpace is all from display advertising?
Dave DeVoe: Well, I think that's correct.
Anthony Noto - Goldman Sachs: Okay.
Dave DeVoe: Yeah, that's correct.
Anthony Noto - Goldman Sachs: Thank you.
Dave DeVoe: And then on the cable side -- we will see renewed expansions from the affiliate fees going forward, although, there are one-time certain cost variations, we’ve got some more cost coming out of NASCAR inside SPEED. We are continuing to invest in programming on FX. But I think one of the key driver, look I think its somewhere is the two key drivers that business are likely to be the increases in Fox News affiliation fees over the next couple of years. And also pretty significant growth coming out of the Fox International channels, which have tremendous operating momentum, but we would also expect to see continued growth out of FX and SPEED, and certainly the regional sports networks are also doing very well, though it also has sort of year-by-year variations as certain contracts get renewed on the team side, which leads to cost increases. And then as affiliate contracts get renewed you see revenue increases. So there, there is some variations on, it's not a sort of straight line margin increase in that business.
Anthony Noto - Goldman Sachs: And Peter is that assumed that you have the add-on costs of a Fox Business Channel as well or is that incremental?
Peter Chernin: We will continue to grow the sector with the add-on increases of the Fox Business Channel, but it will obviously have some margin impact.
Anthony Noto - Goldman Sachs: Okay. Thank you.
Operator: Thanks and we have a question from the line of Jolanta Masojada with Credit Suisse. Please go ahead.
Jolanta Masojada - Credit Suisse: Thanks. I wonder first of all if you could talk about the positioning you see for the Fox Business News Channel, assuming that you don’t succeed with Dow Jones, and also if you can give some details on the joint-venture with the NBC Universal for the Internet video distribution, how are you going with signing of partners for that joint-venture?
Rupert Murdoch: The Fox Business Channel will be starting before the end of the year. There is great preparations going on in here with new studios growth, and that's going ahead regardless. The other half of the question, I think, was for Peter.
Peter Chernin: Yeah, let me just add on the business channel, we made all of these plans and we think there is a great competitive positioning. Even if we don’t get Dow Jones, we think there is an opportunity, what I would say is more of business channel as apposed to just a market channel, a channel that covers the full range of business from small business to personality stories. So, what's going on, on mainstream around the United States as opposed to just covering the market. It will obviously cover the market, but we think we can be much broader. And I think, we have a pretty good history of coming into sectors where there is a entrenched market leader, and showing that by being scrappy and competitive you can create a business. So, we feel very confident about our business channel opportunities. In terms of the NBC Universal joint venture, we have about, I don't know, 40 people from both companies working really hard getting this thing together working on the technology, building the user interface, putting a program in together. We did just announce another partner yesterday in CNET, both the distribution partner and the content partner. I think we're probably somewhere at about 98% of web traffic are now signed on as distribution partners. We are -- I was actually at the cable show yesterday and there was tremendous enthusiasm from everybody out there about this project. We are in ongoing talks with various other content partners, but mostly right now, we are really focused on getting this thing up and running, which we would hope to get up and running in our end of summer, beginning of fall. We obviously need to come up with the name pretty quickly. We are in a pretty intensive CEO search right now. But we feel pretty good about both our operating progress in the short-term, but more importantly the response that this has gotten from web distributors, content creators, all of whom I think are looking for a legitimate opportunity to distribute copyright protected content, and a business model that is both good for advertisers and also very convenient for consumers.
Operator: Thanks. And our next question comes from the line of Spencer Wang with Bear Stearns. Please go ahead.
Spencer Wang - Bear Stearns: Thanks and good morning. On FIM, I think David you mentioned that they turn to small operating profit in the quarter. Certainly you head into fiscal '08, if you could just share with us your targets for margins? How quickly can the margins scale up at FIM, and what are the key swing factors there? And then, can you just talk also about your appetite for further acquisitions on the Internet, and maybe give us a sense of the range of investments you’d be comfortable with? Thank you?
Rupert Murdoch: Our acquisitions basically have been support of FIM as it is now. And that it will be ever, I am sure of small ones than bigger ones. Some have been extremely small ones, like $5 million, some a bit more. That is all the strength in FIM. As to the margins, they are tiny at the moment. We certainly expect the next year a big expansion in margin. We are not prepared to say what it will be or how much because we’ve got a lot to learn. We got to see how long it takes to bring in the new technologies as per time and advertising.
Spencer Wang - Bear Stearns: Great. Thank you.
Rupert Murdoch: But it will take 4 or 6 to 9 months.
Spencer Wang - Bear Stearns: Thanks
Operator: And so we have a question then from the line of Jason Helfstein with CIBC World Markets. Please go ahead.
Jason Helfstein - CIBC World Markets: Thanks. Question for both Rupert and Peter. Clearly a significant challenge in running your business is balancing margin improvement versus investing in future growth. And historically News Corp. has been every successful in the investing area. Can you talk about, kind of, how you guys are making these decisions, and perhaps discuss some of the investment initiatives that you are most excited about? Thanks?
Peter Chernin: What I would say, in general, that the general strategy is to try and push aggressively for margin expansion in our established and more matured businesses. Whether those clearly are our print businesses, our television broadcasting business, and then very specifically right now, our cable businesses and our international satellite businesses. And, you know, what the sort of simplistic goal is to make sure we are growing those businesses so rapidly, that we can afford to invest in new opportunities which will be the growth drivers three, four, five years down the road, but still make those investments while we are continuing to grow earnings. And I think if you look at sort of the past three years, four years of this company, I mean, that's largely been our strategy. I think you've seen us be able to grow our established businesses on our so called momentum growth drivers so rapidly, that we can continue to invest in what will be the next generation of growth drivers for this company without it effecting our earnings growth. And I think that's absolutely the sort of strategy we use to manage the company.
Rupert Murdoch: I think these new investments that we are talking about here in new fields are opportunistic and small, but with great potential. For instance, Poland, which is perhaps the greatest growth area in Europe at the moment, we have bought a network with full coverage of the country, 70%. It has no earnings at the moment and virtually no earnings and no ratings. And as we build that, it will cost us a little money. But it, actually the investment was about $50 million. They are not significant investments, but they are very, very good gambles. We, for instance, spent $10 million on investing and buying about 80% of a television station in Bulgaria, only five or six years ago, at the most. Today, that's contributing about $50 million. Now, we would expect that sort of money to finance what we are doing in Warsaw and in Istanbul, totally.
Jason Helfstein - CIBC World Markets: Thank you.
Rupert Murdoch: These are not significant in the figures at this stage. We hope, they will become significant in the future.
Jason Helfstein - CIBC World Markets: Well I guess the gist of my question was, clearly we are seeing some pretty impressive margin growth in some of your competitors, and I think investors are always wondering at any given time, it is you have to push margins, but there is long-term ramification in those decisions.
Rupert Murdoch: Thank you.
Operator: Our next question comes from the line of Jason Bazinet with Citigroup. Please go ahead.
Jason Bazinet - Citigroup: Thanks so much. I think it's a fair characterization, you guys have been a bit more cautious in terms of putting a lot of your content on the web, and I was just wondering if you could share with us sort of your thinking on that front strategically and then, what might cause that to change? Thanks.
Peter Chernin: Yeah, I actually don't think that's a fair characterization, Jason. I think if you look at sort of any area of the web I think we've got as much content from News Corp and Fox as just about anybody whether it's in electronics sell-through of our movies, whether it's all of our television content is on various services, it is on MySpace, it's on our station websites, we have a big television deal with Apple. And so, I think, you see us experimenting pretty much as you see everybody else experimenting. And then on top of that, I think and look maybe I am guilty of certain amount of self interest, but I think that this NBC Universal joint venture is arguably about the most aggressive move any content company has made to create a legitimate model in co-operation with the greatest number of web distributors, to put frankly more legitimate content on the web than anybody else in a manner that makes it easy for consumers, allows them to go to essentially every large website except for Google, YouTube and we have been in discussions and we will be happy to add them too. That allows them to go to any one of those sites, download legitimate copies of our content download, short form versions of our content mash up to user generated content on top of it. And so, I think on an ongoing basis we're pretty much doing the same things everybody else is doing, which I would frankly characterize as experimentation. And then on top of that I think our NBC Universal joint venture, I believe, again, with some amount of self interest is about the most aggressive move two content companies have made to create a legitimate distribution model of copyright protected content for the web.
Jason Bazinet - Citigroup: What would have been if I could ask some of the key lessons that you've learnt so far in this early stage of experimentation?
Peter Chernin: I would say the key lesson is trying to balance two things. One is trying to balance the needs of consumers; the needs of consumers are they are going to get this content and they are going to use this content regardless of whether or not we make it easy for them. So we have to do that and we've got to allow consumers to drive our business, and then the balance on the other side is, sometimes that can be destructive of our margins. And so, for example, we've got a terrific business model with cable, and what we certainly would not want to do is shift our entire distribution mode from a cable distribution mode to a free download. So, I think the key is what you got to try and balance is how do you create additive models that are easy and convenient for consumers, but with the key word there being added as without taking away from higher margin, really terrific business models like the cable industry. And the same thing with the, you know, if you look at the video business, we've got a terrific business model in DVD sales with very high margin. How do we create additional Video-on-Demand opportunities that again don't cannibalize that, and for example, there I think what three of the studios are in a pretty significant experiment with Comcast. We are about enter a second experiment with Time Warner Cable to try and test day and date video-on-demand with additional marketing, but be very careful to make sure that it doesn’t cannibalize our high DVD margins.
Jason Bazinet - Citigroup: Thank you.
Operator: We have a question now from the line of Adam Alexander with Goldman Sachs. Please go ahead.
Adam Alexander - Goldman Sachs: Thank you. SKY Italia is obviously a big driver of operating income growth this year and next year. I am wondering if you can comment on how that business is tracking versus your expectations. And having passed the four new subscriber mark, you set out there for the end of calendar '06, I am wondering if you want to put any targets out there for subscriber numbers, calendar '07, calendar '08?
Rupert Murdoch: That’s about 4.5 million now, and growing at about that rate of 400,000 to 500,000 a year, safely 400,000. We are happy with the growth this year, but frankly it wasn't what we expected because the football season started with a lot of chaos and major clubs being downgraded, and so therefore we were slower and really getting start up this year, none of our products were victims of circumstance there. Next year all of that seems to be settled, and we should see as much as you can predict, certainly in Italy, it looks like we should have several years at this levels of growth.
Peter Chernin: That's right, it’s correct.
Adam Alexander - Goldman Sachs: Okay. And cost of the sports rights over there are under control at the moment, and that seems to be really --
Rupert Murdoch: Yes, costs are under control.
Adam Alexander - Goldman Sachs: Yes. Thank you.
Peter Chernin: Well, not so expensive, but it's alright, it's a flat figure. If we can increase our subscribers greatly, it makes it much more reasonable.
Adam Alexander - Goldman Sachs: Great. Thanks.
Operator: Our next question comes from the line of David Joyce with Miller Tabak. Please go ahead.
David Joyce - Miller Tabak: Thank you, certainly very strong Fox Interactive revenue and other revenue buried in there as well, I was just wondering what was driving the high losses, we never put in that other line? Thanks.
Peter Chernin: Yeah, the principal loss in there was the $50 million loss with respect to cricket. It is the final year of our contract, so we certainly were not expecting this, but its pretty unprecedented when Pakistan gets beaten by Ireland. So and that's was driving it, and what you are seeing in there is only part of the revenue by the West Indian cricket contract.
Dave DeVoe: So impressive that I think the Pakistani coach got shot for it.
Rupert Murdoch: Poisoned, actually.
Operator: And so we have a question then from the line of Tuna Amobi with Standard & Poor's. Please go ahead.
Tuna Amobi - Standard & Poor's: Thank you very much. Rupert, I know you were certainly had your News guys out for a retreat or conference. I was wondering if there is any takeaway that you can share with us in terms how you are thinking about repositioning those businesses over the near to longer term?
Rupert Murdoch: All of this is our -- as far as the net goes, they are all expanding their presence on the net. I think the outstanding example is the London Times which has now up to a good months $10 million -- is head up to $10 million uniques. It's greatly expanding its franchise, and it is attracting, but not advertising to more than pay its cost. All of our papers are doing interesting things on the web differently. It was to learn, what was working and what wasn't working, what more we should be doing, where we can have on those sites. We can make additional revenue from transactions, all those sorts of things. Dave?
Dave DeVoe: And what it was doing to leadership, if anything, or how that could be done to support it. Also we have FOX's News.com which has done a great job and is in solid profits for a website. Not like profits it makes from its cable distribution, but we saw a lot of very good work, and some other work which we thought was too defensive, and it was just a good private inter cap discussion working hard to see how we could improve our act.
Tuna Amobi - Standard & Poor's: Great. Just one follow-up then on that, I know that a few months ago in response to a question on one of these calls at that time you did a deal for the Long Island Regional paper, I think, that you had dismissed the idea, correct me if I am wrong, at that time, I think, you dismissed the idea of making a broader push into US publishing. So the question is what has changed in your thinking between that time and now?
Rupert Murdoch: Well, if you talk of publishing, newspaper publishing as the regular local newspapers whether they would be the Philadelphia Inquirer or the Long Island Newsday or the New York Post; that’s one thing. The financial publishing is something totally different. So, you have been charged highly for, it’s something you've to customize, and take that journalism and that information and sell all over the world, it’s a quite different matter. The regular newspapers, we all know are under a lot of pressure, because they are loosing young readerships or the young people are not coming to them, and advertising quite, for different reasons, retail advertisings all the big departments stores have consolidated in defense against the discounters and things are not happy for most of the regular monopoly in newspaper across the country. You mentioned Long Island; we don't really have anything to say about that of substance yet, except we would, of course, like a joint operating agreement. The [press] wouldn't be a purchase.
Gary Ginsberg: We’ll take one more question, Ken.
Operator: Thanks. The next question comes from the line of Alex Pollak with Macquarie Bank. Please go ahead.
Alex Pollak - Macquarie Bank: Hi there. Thanks for that. Terrific results in the cable network programming division in the quarter. I noticed, I think you had 5% growth in operating income there in the second quarter, and 33% in the third quarter. And I was just curious to know whether you saw that quantum of growth, that 33% continuing for the next couple of quarters, and how you're just kind of carving out the profits for those companies, for that business in the year or so?
Rupert Murdoch: You can see whether they’d be in the domestic here or international cable channels. Pretty good growth. What we do quarter by quarter, I can't predict it. It depends when the new contracts come in from FOX News. It depends with new negotiations on other channels for a wider distribution. These don’t evenly quarter-by-quarter.
Alex Pollak - Macquarie Bank: Yeah, you were saying there.
Dave DeVoe: Probably you can see that segment becoming a very big part of our total profits.
Alex Pollak - Macquarie Bank: Thank you very much.
Gary Ginsberg: Okay, with that Ken we'll go to our press call please.
Operator: Certainly. (Operator Instructions). And we are showing a question from the line of Stephanie King with The Wall Street Journal, please go ahead.
Stephanie King - The Wall Street Journal: I was curious about the advertising relationship between MySpace and Google. Could you guys address what some of the key earlier lessons are on it? And I also wanted to see if Google, is as well, was continuing to make payments to MySpace right now?
Peter Chernin: Yeah, I would say that we are in the very early days. And I think what we're looking at is, trying to work closely with Google about learning sort of details about where the best place to put a search enquiry is, what the best usage on a page are, or where the best placement of advertising is. Certainly, we are what’s the most important thing from our perspective is, are we delivering the minimum that we have to do in order to get the guarantee which we're significantly over delivering those minimums. So I think we're working closely with them, and so we know how to maximize, and yes they are making the appropriate payments that they are supposed to do. Their first payment was at the beginning of the year. There was a second one at the beginning of the quarter, and yes they have been paying.
Stephanie King - The Wall Street Journal: Okay, great. Thank you.
Operator: Thanks. And we have a question now from the line of Ken Lee with Reuters. Please go ahead.
Ken Lee - Reuters: Hi, thanks guys. If the Dow Jones purchase is successful, what part can you identify that the company could sell off and as a follow up, I would like to ask what in your opinion --
Peter Chernin: Ken we have just, have to interrupt --
Rupert Murdoch: We are not just talking about that at all.
Ken Lee - Reuters: Dow Jones, okay. The Bancroft's family reservations on [preventing] the deal?
Peter Chernin: Ken, we are just not going to answer any questions on Dow Jones. We said that at the beginning of the investor part of the call.
Ken Lee - Reuters: Okay. Fine, I am done. Thanks.
Operator: Thanks. And we have question then from the line of Michael Roland with Australian Broadcast. Please go ahead.
Michael Roland - Australian Broadcast: Mr. Murdoch, I was just wanted to ask why you have sold your stake in the Fairfax group in Australia and whether this signals any future ambitions you may have in the Australian Media market?
Rupert Murdoch: It's got nothing to do with the future intentions there. We still have plenty of ambitious and interesting ideas. As for the, first of all, you’ll be rather surprised, purchase of that was at a time of considerable [conjunct] to that, Fairfax may have fallen to very much more competitive hands, and we have thought it a good defensive move. Since then, Fairfax has moved on to almost double in size with other mergers, and clearly that they didn't need any help from us in defense. So, we've just moved on, we've taken our money back, cut a little bit of foreign exchange profit.
Michael Roland - Australian Broadcast: Thank you.
Rupert Murdoch: Thanks.
Operator: Thanks. And we have a question then from the line of Cecile Dorat with the Bloomberg News. Please go ahead.
Cecile Dorat - Bloomberg News: Hi. If you don't take any question on Dow Jones, can you tell us at least when you might and whether there is any timeline or date?
Rupert Murdoch: Whenever, the negotiations are totally completed, one way or the other.
Peter Chernin: The appropriate time, we'll be talking about it.
Cecile Dorat - Bloomberg News: Alright. And can I ask separately another acquisition question [Photobucket], is that the company you are looking to acquire, and if yes, how much?
Peter Chernin: I think I answered that question yesterday, Cecile.
Cecile Dorat - Bloomberg News: Yes. But today is a new day.
Peter Chernin: Again, we have no comment. Same answer as yesterday.
Cecile Dorat - Bloomberg News: Thank you.
Operator: Thanks. And we have a question there from the line of Seth Sutel with Associated Press. Please go ahead.
Seth Sutel - Associated Press: My question has been answered. Thanks.
Operator: Great. Thank you. And we have a question now from the line of George Sealy with Hollywood Reporter. Please go ahead.
George Sealy - Hollywood Reporter: Thank you. Peter, I was wondering if you can give us a little more color on the Day and Date trials with Comcast, Brian Roberts has been saying that its really been working out in such a way that its beneficial to both Comcast but also the studios. Can you give a little color on, how things are looking? What seems to be working there?
Peter Chernin: Yeah. Look, I would say, first of all, it's very early days. Brian, who has been a very good partner in lot of areas, obviously wants this thing to work badly for him. So, he is looking at, frankly his side of it. We are trying to look at it on a slightly broader view, which is clearly has been a positive for the cable companies. But I also think we need to really dig into the data on what's its doing on the DVD sale side. And those indications are positive but not conclusive yet, and I think that this is such an important issue for us that we are going to our time. We are doing very deep research of both on a sort of consumer anecdotal side, but also really digging into our sales data on a store-by-store basis in those regions. So, I think it's too early to conclude results of those tests, but I do think we are absolutely in favor of continuing the tests and trying to learn more about them. Again it's trying to balance that issue of making things easy and convenient for consumers and yet continue to maximize our margins, so mostly inconclusive in early days yet.
Operator: Thanks and we have question from the line of Aline van Duyn with The Financial Times. Please go ahead.
Aline van Duyn - The Financial Times: Thank you. Peter just continuing on the test, Comcast said they had given results which showed that the tests were not cannibalistic on your DVD sales. So, it sounds like you are saying you need to do more research on that and its not conclusive?
Peter Chernin: Yes, Comcast gave us results, which were interesting and we are digesting and we're positive, but this is obviously a really important issue for the comfort of all the movie studios and so we are doing deeper research among, we are the ones who have the relationships with the purchasers of DVDs on the consumer side and we have extraordinarily extensive store data. We are largely tied in directly to each cash register in most of the major chains in which we do business. So, there is a tremendous amount terabytes of data that we get out of these stores and we are really doing a very in-depth analysis of that data. So, we did get a bunch of data from Comcast, which was quite positive. We are looking at that, but we are also doing much deeper research on our own, because this is a very important issue for us.
Aline van Duyn - The Financial Times: This is something you think you could find the results for this year or is it a much sort of longer process?
Peter Chernin: I don’t want to put it, by this year do you mean this calendar year I would assume so.
Aline van Duyn - The Financial Times: Yes.
Peter Chernin: Again we are not going to put a specific clock on it, we are going to keep analyzing it and we'll continue to test, we may even expand the test because it's something we are interested in learning but we certainly don’t feel like we have to put a clock on it but I would guess, I can't imagine, that we won't have a fairly conclusive point of view by this year.
Aline van Duyn - The Financial Times: Alright. And one more question please to Mr. Murdoch regarding the newspaper business, as you have it at the movement, do you see that there is a growth potential in the newspaper business, as you in terms of the newspaper associate you own at the moment?
Rupert Murdoch: Yes, they are in different parts of the world, you can see in the developing world tremendous success is whether it would be in, by other people like Springer and Poland, or the [Iranian] Group and India, none of these things are we doing. Now, we just have not taken those opportunities.
Aline van Duyn - The Financial Times: Are you looking at such opportunities?
Rupert Murdoch: No.
Aline van Duyn - The Financial Times: Okay.
Rupert Murdoch: We're busy depending on turf and try to expand it. We think there, we are learning a great deal about readership and on what terms people will read, we are looking at the growth of these pre-newspapers, which frankly none of them that I know are very profitable but they are certainly extremely disruptive, established papers. So, and can one develop good websites and there are a lot of questions we have to answer. But, we are certainly making very good cash flows from our newspapers; bigger than I have indicated by the figures because we are in the mixed of a big major extension in our plans in Britain which are causing very high depreciation charges. But the papers are all throwing off a lot of cash, and we are very happy where we stand. But we are not going to sleep at it.
Stephanie King - The Wall Street Journal: Okay. Thank you.
Operator: Thanks. And we have a question from the line of Ross Kelly with the Australian Associated Press. Please go ahead.
Ross Kelly - The Australian Associated Press: Hi, guys. I was just wondering, if I could ask, if you would be interested in expanding your interest in cable TV in Australia through acquisition and more specifically, if you would consider possibly upping your interest in All-Star?
Rupert Murdoch: There's not anything we can really answer. It's a matter for the Board of FOXTEL, which is a partnership in which we only have 25%. So, there's nothing I humbly said is useful on that.
Gary Ginsberg: We will take one more question.
Operator: Thanks. The next question comes from the line of Chris Tryhorn with [The Guardian]. Please go ahead.
Chris Tryhorn - The Guardian: Hello Mr. Murdoch. Just to ask about the SKY stake in ITV. It now looks almost certain that it will be a competition inquiry about that. Are you worried about some of these regulatory concerns over SKY, if that is so wider review of the pay TV market that OFCOM is conducting. Is this something that's concerning?
Rupert Murdoch: Not on the least. We have done nothing illegal. That 20% limit on ownership there was known as the Murdoch clause. We stayed under the 20%. We are not worried by any of these enquiries. However long it may take, we have done nothing illegal. And as far as, it disappointed at total. I am disappointed simply that the politicians chicken out, pump these things to these [quandosh].
Gary Ginsberg: Thank you very much everyone. For those who are still on the call from the press, we hope we will see you in a few minutes over the Hudson Theater for the launch of our Climate Initiative. And with that, we will warp up the call and have a good day. Thank you.
Rupert Murdoch: Thank you all.
Operator: Thanks. And ladies and gentlemen, this conference will be available for replay starting today Wednesday, May 9 at 1 pm Eastern US time, and that will be available through next Wednesday, May 16 at midnight Eastern Time. You may access the AT&T Executive playback service by dialing 1800-475-6701 from within the United States or Canada, or from outside the United States or Canada, please dial 320-365-3844 and then enter the access code of 868924. Those numbers one again are 1800-475-6701 from within the US or Canada or 320-365-3844 from outside the US or Canada, and again enter the access code of 868924. And that does conclude our conference for today. Thank you for your participation and for using AT&T's Executive teleconference. You may now disconnect.
Do you get frustrated during earnings season?:
Have you had trades go south because of bad earnings dates?:
We know what it's like. We’ve been there. We’re Wall Street Horizon and we work with some of the largest firms on Wall Street.:
Founded by former Fidelity Investments executives, we understand the power of trading on good information and the pain and suffering of trading otherwise. We obsess about earnings and economic events calendars so you don’t have to. Accurate. On time. Guaranteed.:
Let us help.:
Get Smart: Get Wall Street Horizon.
Get Smart:
View our Free 30-day trial for investment professionals :
View our Free 30-day trial for investment professionals :
To sponsor a Seeking Alpha transcript click here. :